Operator: Ladies and gentlemen, good morning and welcome to the Analyst Conference Call on the First Quarter 2022, results of Ahold Delhaize. Please note that this call is being webcasted and recorded. Please note that in today's call forward-looking statements may be made. All statements other than statements of historical facts, may be forward-looking statements. Such statements may involve known and unknown risks and uncertainties that could cause actual results, performance, or events to differ materially from those included in the statements. Such risks and uncertainties are discussed in the Interim Report First Quarter 2022, and also in Ahold Delhaize's public filings and other disclosures.  Ahold Delhaize's disclosures are available on aholddelhaize.com. Forward-looking statements reflect the current views of Ahold Delhaize's management and assumptions based on information currently available to Ahold Delhaize's Management. Forward-looking statements speak only as of the date they are made, and Ahold Delhaize does not assume any obligation to update such statements except as required by law. The introduction will be followed by a Q&A session. Any views expressed by those asking questions are not necessarily the views of Ahold Delhaize. At this time I would like to hand the call over to JP O'Meara, Senior Vice President, Head of Investor Relations. Please go ahead, JP.
JP O'Meara: Thank you, operator and good morning, everyone. I'm delighted to welcome you to our Q1 2022 results conference call. On today's call are Frans Muller, our CEO, and Natalie Knight, our CFO. After a brief presentation, we will open the call for questions in case you haven't seen it, the earnings release and the accompanying presentation slides can be accessed through the Investors section of our website, aholddelhaize.com, which also provides extra disclosures and details for your convenience. To ensure everyone has the opportunity to get our questions answered today. I ask that you initially limit yourselves to two questions. If you've any further questions and please reenter the queue, I'll now turn the call over to Frans.
Frans Muller: Thank you very much, JP. And good morning, everyone. I'm pleased to report a strong starts to the year for Ahold Delhaize. In times like these, our strong global portfolio of number one and number two local brands provides distinct, competitive and societal advantages. On the one hand, these allows us to successfully navigate short-term market volatility. And on the other, it provide operational bandwidth and financial stability so we can remain focused on our exciting long-term growth agenda. But before I go to that and our numbers, let me first start with the customer. For consumers, Q1 was characterized by significant challenges within and outside of our markets, headlined of course by the war in Ukraine.  While we do not have direct operations in the Ukraine or Russia. I'm extremely proud of associates at our brands. They quickly jumped into action and provide crucial support to those affected by this war. Our brands in Europe, together with Ahold Delhaize donated more than €1.5 million worth of cash and in-kind support and generated an additional €1.2 million in customer and associate donations to organizations like the Red Cross. Several brands are also supporting associates who are volunteering their time to provide on the ground support and are actively promoting jobs to Ukrainian people displaced by the violence.  We will continue to provide support for as long as it's needed. We also noted consumers globally are feeling the pressure of high inflation rates. And therefore, we working hard and having firm negotiations with suppliers to mitigate price increases where possible. We also ensuring price increases are a realistic and necessary via our should-cost models. As you know, we are two the manufacturer as well with our own private label brands. And therefore, we can deconstruct products down to component materials, like raw materials, packaging, energy, and transportation. So we have a good sense of what a product should cost. Moreover, we also have to powerful backdrop of our Leading Together strategy and the four priorities we are leaning on to unlock even more value for our customers and our stakeholders.  That starts with our consumer and customer value proposition. And as you can see with the many examples from the quarter on Slide 8, all the less local brands are continuously helping customers manage our omnichannel shopping baskets more efficiently. Our brands are also laser-focused on helping consumers, managers spending by proactively highlighting savings opportunities along the customer journey. Powered by data and insights, we do this by the following things. Providing great value offers, spearheaded by omnichannel loyalty programs. Prioritizing healthy food options through Guiding Stars and Nutri-Score linked promotions, and expanding the assortment and availability of high-quality low cost Own Brand products and bulk offerings.  For example, as you can see on Slide 10, the page called Own Brand Assortments, which offer great quality at reduced costs versus national brands. And these are being positioned more prominently and conveniently in stores and omnichannel shopping journey through our apps and websites. As a reminder, we are very well-positioned with our Own Brand s relatively to peers. In the Benelux, Own Brands represent over half of all our brands sales. And in the U.S. Own Brand penetration stands at approximately 30% and our brands will continue to extend any invest in the presence and visibility in stores and online throughout 2022. All of the actions I just mentioned are clearly paying off, and we believe that is even more to gain going forward. Brand strength and relative market share are our most important measures of success.  Our performance on these metrics against shines through in our results, which exceeded our original expectations. In Q1 net sales grew 8.3% to €19.8 billion and diluted underlying earnings per share was up 1% to €0.55. Now these results are coming off a very strong 2021, with large endemic support on gains, especially with bol.com being a big beneficiary. We therefore are very pleased that we have maintained the majority of these gains on an absolute basis and consolidated our market share position in the process at the same time. In the U.S. Food Lion was clear outperformer, and right now is one of the fastest growing brands in the U.S. with close to double-digit comps. And we continue to make very good progress building new capabilities and consolidating activities in our support hubs which is a central part of how we add speeds and levered skill to accelerate growth and drive costs lower overtime.  With a well-supported consumer environment in the U.S. we are in general more optimistic about our performance. In Europe, the reopening of societies across our markets and the return to normal life for most citizens created a challenging comparison in the Benelux. And this resulted in declining first quarter comparable sales and underlying operating profits for Europe. However, we see customer trust and loyalty as an important indicator of how well we are doing. And this is clearly reflected in effect that our overall market share is increasing being particularly robust at Albert Heijn and bol.com. We expect the first quarter performance trends in both regions to continue in Q2, and potentially even intensify in Europe as inflation rates continue to peak.  Therefore, to counter the market conditions we see in Europe, particularly challenging markets like Belgium, we will be proactive and swift and are focusing on two main approaches to strengthen our brands, as well as intensifying our cost-saving efforts, which Natalie will address in a moment. While adding additional short term mitigation actions, our Leading Together operational priorities remain front and center in our work. Our omnichannel transformation agenda is core to this and you can see on Slide 12, we again accomplished a lot in the quarter. We continue to use a blend of organic investments and strategic partnerships to make smart choices to expand our grocery omnichannel proposition and reach. And this industry is rapidly shifting to more same-day delivery options, we are positioning ourselves to accelerate in this space.  For example, in the U.S. we have over 1,400 pickup points and have added new instant delivery options with partners such as Instacart. In Europe, advertising recently began making instant deliveries in Amsterdam by expanding its existing partnership with Deliveroo and , to give some customers more ways to put a fresh, healthy meal on the table. We remain confident our brands will be winners from this long-term plant and fully expect to take significant market share as to more challenging environment shakes out competition. This is a good opportunity to spend a few minutes on how we intend to leverage our portfolio and to make it a priority to be bigger in this respect. Creating the ecosystem for smarter customer journeys is a clear passion of our company and a key differentiator from our peers.  As you can see on Slide 13, our time in bol.com have increased collaboration on several fronts in the area of joined loyalty, media monetization, and introducing new convenient customer solutions like joint partial lockers. We also made good progress with Stop & Shop and FreshDirect, where we plan to increase collaboration to accelerate growth and market share in New York City. I look forward to share more on this in the second half of the year. Finally, as you have seen at our AGM last month, we remain fully focused on our healthy and sustainability ambitious, and have again made good progress on many fronts as can be seen on Slide 14. We were proud to the Albert Heijn and bol.com were again recognized with the 2022 sustainable brand index. Albert Heijn was voted the most sustainable markets supermarket chain in the Netherlands for the sixth year in a row.  And bol.com was recognized as the most sustainable e-commerce brands for the second year in the row. bol.com also became the first e-commerce company in the Netherlands and Belgium to be climate neutral certified from the climate neutral group. And in a similar lights, our U.S. brand Hanford, also announced plans to be fully powered by renewable energy by 2024. In summary, all-in-all, I'm pleased with the performance of the business in what is in the recently challenging environment with the first quarter results better than our expectations. In many of these Q1 trends are continuing in Q2. Our strong global portfolio of number 1 and number 2, local brands provides ample opportunities and caution to navigate the environment. With our U.S. business remaining strong, our extensive toolkit to manage inflation, dependable cost-saving initiatives.  An additional proactive actions plant in Europe, we are increasing our 2022 earnings guidance today. And on that note, let me now hand over to Natalie, who will add her comments on the quarter, providing further specifics on the outlook and update you on our progress on the sub-IPO of bol.com.
Natalie Knight: Thanks, Frans and good morning, everyone. Our plans for 2022 and beyond, underpin our clear goal to be the industry-leading local omnichannel retailer in each of the markets we serve. Even though we started the year in challenging market conditions, our operating model is proving to be very resilient, and our strong portfolio is well able to absorb the macroeconomic pressures. In this environment and unlike many of our competitors, we are able to lean in on our strong global footprint and market leading positions. Our long-standing and consistent track record of operational excellence and our deeply rooted focus on delivering what matters most for customers and their daily lives.  As I've said on previous calls, our financials in 2022, will show some conflicting trends as we lap country-specific lockdown periods as well as the divergent consumer behavior patterns, particularly in absorbing inflation headwinds. So while there are clear differences in our regional performance, there are nonetheless three key messages I'd like you to take away today. First by collaborating with suppliers, but also negotiating hard with them when necessary we are keeping price increases in check for our customers and have therefore continued to successfully managed to pass-through inflation, albeit with different levels of consumer elasticity by region. Second our increasingly omnichannel formula is really working for us and the customer. The transparency we are creating through our omnichannel ecosystem is unlocking the power of data and insights.  These intern are helping us to speed up, innovate, shape, and adapt our daily commercial initiatives at a local and personalized level, in-store and online, fueling growth and/or market share gains. And thirdly, our attention to detail and proactively  tightly managing our cost, planning our investments and proactively managing risks and exposures like safety, ensures that we can continue to provide strong visibility, agility, and dependability, in our cash flows and our shareholder returns. As you'll see in detail on our press release and summarized on Slide 18, we can take a lot of confidence for our Q1 results. Net sales were €19.8 billion up 3.6% in constant exchange rates, or 8.3% in reported terms.  Excluding weather and calendar shifts primarily related to the timing of Easter, Q1 group comparable sales increased 1.2%. Group net consumer online sales declined 1% at constant exchange rates as solid growth and increasing online penetration rates in the U.S. were offset by the cycling of a very strong Q1 2021, in Europe, particularly at bol.com arising from last year's lockdowns. For context, excluding bol.com, net consumer online sales increased 4.6% at constant exchange rates. Group underlying operating profit was 4.2% for Q1 down 0.5 percentage points compared to Q1 2021 at constant exchange rates, reflecting higher labor distribution and energy costs than in the prior-year period. Underlying operating profit also includes €47 million increase and income from our global support office insurance activities compared to Q1 of the prior year, mainly due to favorable discounting effect on insurance provisions driven by the increase in interest rates.  Diluted underlying EPS was €0.55 up 1.3% at actual currency rates, and 9.4 million own shares were purchased in the quarter for €268 million. Moving on to Slide 20, you see the comparable sales growth by region, including an excluding weather and calendar with Easter shift playing a major roll this year. In the U.S. we posted a 3.9% adjusted comp sales number in Q1, keeping the pace of previous quarters. In Europe, the adjusted comp sales for Q1 declined by 2.8%. A deceleration from prior quarters due to the reopening of society's as well as inflation began to bite harder in the regions since the beginning of the year. Now let me go a little deeper on our first quarter performance by segment.  Starting with the U.S. on Slide 21, net sales grew 5.8% at constant rates to €12.2 billion. On top of that solid underlying comp growth, sales were also benefited from favorable foreign currency translation rates, last year's acquisition of stores from Southeastern Grocers and higher fuel sales. Brand performance continued to be led by Food Lion, which has now delivered 38 consecutive quarters of positive sales growth. In Q1, online sales in the segment were up 4.6% in constant currency. This builds on top of the significant 188% constant currency growth in the same quarter of last year.  The underlying operating margin in the U.S. was 4.4%, down 0.4% points at constant exchange rates driven by increased labor distribution and energy costs, which were partially offset by higher pricings and cost-savings initiatives. Importantly, in the quarter Stop & Shop signed and ratified in new four-year labor contract with unions representing over 60% of the Stop & Shop workforce. As such, we have no other significant labor negotiations outstanding at this time. In Europe, as seen on Chart 22, net sales increased modestly to €7.6 billion, driven by at the 2021 acquisition of 38 stores from Deen in the Netherlands. Q1 comparable sales declined in Europe came as the segment lap strong comp sales growth in Q1 2021, of 8.3% for the reasons already mentioned.  Nonetheless, as Frans discussed, our market shares across Europe remains strong even in some of our most challenging markets, like Belgium. Albert Heijn was a particular standout in the quarter, with robust market share gains attributed to strong execution, successful marketing campaigns, sales uplifts resulting from the brand store remodeling activities, and contributions from the newly acquired Deen stores. In Q1, net consumer online sales in Europe were down 3.8% following 78.6% growth in the same period last year. Underlying operating margin in Europe was 3.5%. This compares to an underlying operating margin of 4.7% in the prior quarter. While last year's results included pandemic-related benefits, we are clearly not satisfied with this result. Therefore, we're doubling down our efforts in two key areas.  Firstly, we're strengthening our commercial proposition, rolling out successful pricing and loyalty programs for customers in all our markets, and broadening our product offering to ensure affordable options for every wallet. Secondly, cost savings are more important than ever to be able to offer customers the most competitive price without sacrificing investments in growth. As such, in the more challenged markets like Belgium on top of increased costs for Save For Our Customer initiatives, we're committed to more intensely reviewing structural costs. Overall, we're looking at SG&A, supply chain costs, store costs, and further potential and combined sourcing for brands. This is necessary to align our cost base to the changing underlying dynamics of the market. We'll provide you an update on our plans in August with our Q2 results. Moving on to Chart 23, let me spend a little more time on bol.com.  In Q1, net consumer online sales declined by 6.5% following strong sales growth in the prior-year period of 76.6% when sales at bol.com were aided by lockdown measures, limiting brick-and-mortar retail sales. Bol.com sales from it's 49,000 third-party merchant partners in Q1, declined at a slightly lower rate. Bol.com gross merchandise value, excluding the AT was €1.3 billion in Q1 down 7% compared to the prior year when growth was 70%. Against the market backdrop, which is estimated to have been down in the mid-teens the strong position of bol.com with customers and partners has therefore again yielded us strong market share gains estimated at near two points of market share in the quarter. We will also officially open bol.com’s new fulfillment center on Monday next week and since soft opening, we're already ahead of our initial productivity expectations.  We also completed the acquisition of a majority stake in delivery expert Cycloon last week. We continue to make very good progress with the bol.com management team in our preparations to have bol.com ready for a sub-IPO in the second half of 2022, subject of course, to the right market conditions and other factors. We believe strongly in value and the potential of bol.com. Our intentions remain firmly focused on securing the right future path to unlock this value and provide further funding for bol.com and Ahold Delhaize to execute our winning strategy. Moving onto Slide 24, and switching back to the group.  Q1 free cash flow was negative €21 million, which although very much in line with historical pre -COVID levels, does represent a decrease of €316 million compared to Q1 2021, mainly driven by unfavorable development due to the unwinding of COVID-19 driven working capital gains, higher net lease repayments and net investments, which were partially offset by a lower income taxes paid. I'd now like to give you a few comments on the 2022 outlook on Chart 25. Higher than expected Q1 earnings coupled with a more resilient consumer client climate in the U.S. as well as a stronger U.S. dollar are forecast to more than offset challenging economic backdrop we now see in Europe. Therefore, we expect underlying EPS to be higher than our previous guidance of low to mid-single-digit decline and instead be comparable with our 2021 levels.  Free cash flow is expected to be approximately €1.7 billion, net capital expenditures are expected to total a maximum of €2.5 billion and therefore be lower than our original expectations as a percentage of sales this year. Given higher labor raw material costs, we remain committed to executing and facing the timing of investments with the same discipline and focus, you have come to know and expect from Ahold Delhaize, which means achieving required hurdle rates and internal return on capital metrics. We're committed to our dividend policy and our share buyback program. We again expect to increase our full-year dividend and we are well on track to executing our €1 billion share repurchase program in 2022 as planned.  So in conclusion we're proud of our accomplishment at Ahold Delhaize over the past quarter. We have a strong competitive advantage rooted in our 19 great local brands. We have a clear, unique, and efficient formula for growth. We are committed to and have a strong track record of delivering consistent margins and cash flows. And you can expect us to remain vigilant, proactive and agile in managing our financial performance in this environment. Thanks for your continued interest in the company and Operator, please open the lines for questions.
Operator: Thank you. . When asking your questions be aware that everyone on the call can hear background noise, so please keep this to a minimum. If possible don't go hands free or use the speaker. In order to allow enough airtime for all participants, we would like you to limit the number of questions to two. Please standby for a moment as we wait for participants to register for the queue. Thank you. And the first question is coming from Ms. Fabienne Caron, Kepler Cheuvreux, please go ahead.
Fabienne Caron: So good morning everyone. My two question would be the first one; can you share with us some color on the top-line regarding inflation volume and mix in the U.S. and Europe? And the second would be, where do you see more gross margin pressure in the U.S.. or in Europe? Thank you.
Frans Muller: So Fabienne, good morning. We see inflation levels in the U.S. with a March number for the CPI in the Northeast of roughly 8% in food and a just released numbers, for example, for the Dutch market, yes, there was also an 8% in food. So where the U.S. was ahead of inflation, we see now that Europe catch-up, they caught up in the meantime. And that means that our 8% growth has a high inflation share than we used to have in the past. We don't give numbers on price and volume as such, but we have a higher apart of price in our sales numbers at the moment. Gross margin, both  are still priced very rational. We see that price increases are passed on, depends also how well we negotiate and how realistic and necessarily those price increases, are we going to accept? But so far both in the U.S. and in Europe, we have been able to pass on the price increases. So we have very stable gross margins.
Fabienne Caron: Okay. Thank you.
Natalie Knight: Fabienne maybe I'll add a little from my side as well. I think when we will look at the price, volume effects and we know that in the first quarter our growth was really driven by pricing. And what I think it's fair to say is that we see that trade-off between price and volume being higher in Europe than it has been in the U.S. Although absolute inflation levels in the U.S. were higher in the first quarter. And when it comes to gross margin that piece, I would add there is that we have a lot of discipline around making sure that we maintain the gross margin, euros or dollars that we achieved as a business. That will always translate into margin when you look at it just from a mathematical perspective due to the inflation. But that's something that we are very diligent about and where we've had a lot of success in the first quarter and continue to be pretty optimistic about that as we go forward.
Fabienne Caron: Okay. Thank you.
JP O'Meara: Operator, we'll take our next question.
Operator: And the next question is coming from Mr. Sreedhar Mahamkali, UBS, please go ahead.
Sreedhar Mahamkali: Yes. Good morning, and maybe just a couple of brief questions, then, please. Firstly, I think you've mentioned U.S. on track with Stop & Shop. Can you give us an idea of what kind of wage increases that you are now secured for this four year contract on an annual basis? That would be helpful. Secondly, in terms of Europe, you  clearly  there is more that you're now starting to work on in terms of cost savings. Firstly, can you give us an idea in terms of European margins if it's possible? Explore.com used to give that to us a little while ago what's happened to underlying food retail margins in Europe. And when should we be expecting your cost savings plans to take shape and start to protect the margins in the U.S.? Those are the two questions. Thank you.
Frans Muller: Good morning. Let me take the first question. What I understood is that you were led to know a little bit more about the CLA negotiations outcome. We got the CLAs for Stop & Shop ratified for a period of four years at rates which are in line with our expectations. So we are quite happy with the -- that stability for the coming four years, and we in the meantime, also, got ratification for three years of our FreshDirect, which is a much smaller topic of course. But we also ratified the CLAs there. So I think that is in the -- this brushed and a big achievement there, sort of stability for planning for the coming four years. On cost savings, Natalie.
Natalie Knight: Talk margin and cost savings. But let me start with the cost savings. You know that we have our Save For Our Customer program in place where we plan to deliver 850 million of savings again this year. And that is somewhat weighted to the second half. And what we we're also talking about in our presentation was that in Europe where we're seeing heavier margin pressure, that's a place where we are reviewing in all of our markets. What is the optimal cost structure given the market conditions that we have going forward? And that's something that we're going to talk to you more about in August when we come back. With respect to the European margin specifically because you asked the question, we don't disclose at Expo, but I can say that that impact was almost half of the decline.
Sreedhar Mahamkali: Okay. Got it. Maybe, very briefly, Frans just in terms of U.S. labor costs, like how does that compare to European inflation wage costs versus Europe in -- U.S.. wage inflation versus Europe wage inflation, any color you can share there?.
Frans Muller: It's not so easy to give a number for Europe as a total, but let me give you an indication. The CLA complex for Europe and the U.S. are reasonably in line with a percentage of growth per year. So don't forget there for the U.S. we follow -- already for a long time our legal obligations, the minimum wages we have absorbed a lot already, being also a pretty unionized company on the east coast. So we won't have a lot of extra exposure there on these type of topics. And that's why the four year stability outlook for Stop & Shop is for us, a good outcome to plan for. And that's why we feel pretty confident that we also been mitigate and also can absorb these costs, and that's what we did in the last couple of years, but also over the years forward. I think that there is not our major concern at the moment.
Sreedhar Mahamkali: Okay, thank you.
Operator: And the next question is coming from Mr. William Woods Bernstein, please go ahead.
William Woods: Good morning. A quick question on the U.S. consumer. Could you just talk about the behaviors that you're experiencing, particularly at Stop & Shop? Are you seeing trading down market share loss, that kind of thing at Stop & Shop yet? And then secondly, could you just talk a little bit more about the Belgian situation? Are you seeing the situation in Belgium alleviating or is it really a continuation of the pressures on pricing and things that you've seen over the last few months.
Frans Muller: Let me take the first one and Natalie, maybe the second one on Belgium. The consumer behavior in the U.S. we have a very strong consumer in the U.S. We still see a strong support with government programs for example, the U.S. SNAP programs. We have strong a consumer there, which we only see happening -- which we see happening also in the recent seasonalities, strong Easter, strong Mother's Day. Consumers are just buying quite a bit and we had also there a very good Easter business as well. So strong consumer supported by programs. And although we see that Northeast CPI index offer an 8%, we were able to pass on those price increases to consumers like our competitors also did, a rational market there.  But there is no holding back of consumers. Of course, we prepared ourselves to make sure that in our stores, when the wallet is smaller for specific customers that we have  prices, which are very competitive and that counts for all our brands with the built up and the architecture in our brands. Not only in the national brands, but for sure also in our private labels for which we have a share of 30% over sales. So a strong private label share, strong architecture, whatever wallet you have, you can find your groceries in our stores.  Natalie already mentioned in her address that Food Lion 38 quarters and I mentioned already myself that with very a strong growth there and market share gains for Food Lion, overall on the east coast with the IRI proxy we have because Nielsen numbers are not known for this quarter, we think that we gained market share on the east coast as an overall U.S. business. Where at the top end, we see Food Lion and at the low-end, we see Stop & Shop. But overall, market share gains there. At Stop & Shop itself, we do not see down-trading of consumers in that geographies in itself in New York, in Massachusetts, in New England. But overall, stronger share gains at Food Lion compared to Stop & Shop.
Natalie Knight: And I think that is one of the differences when we look at this as in Europe is that in the U.S. there really continues to be despite a pretty high inflationary environment, a quite resilient consumer and that we do see that across all of our banners. When you come over to Europe, it is different on a case-by-case basis in the different markets depending on how much people have been open, particularly in the first quarter versus in the COVID period last year. Belgium is the one you've discussed, that's when I look at the second quarter overall for Europe, I don't see changes in terms of trends. I think we're going to continue to see things go as we've seen them in the first quarter. Belgium is a market where the inflation has been about 5% in the first quarter, it's obviously accelerating.  And within our group it has some of the highest consumer elasticity that when we start to see prices go up, we start to see impacts on volume. And it's just in addition to what we're seeing in our own stores, we know it's a very challenging market overall. Supply chain issues from last year with the floods, changes on the competitive front and it's really something where we believe overall as we look at Europe, we just want to make sure that we have the optimal cost base, the best CVP for our consumers, so that we're able to go out with great pricing and things that are really affordable for each of the consumer wallet.
William Woods: Great, thank you.
Operator: And the next question is coming from Mr. Rob Joyce, Goldman Sachs, please go ahead.
Rob Joyce: Thanks very much for taking the questions. So first one just on the free cash flow, just if you can help us, or remind us what your expectations are for working capital this year in that free cash flow guidance? And also on the lease costs, I noticed in the bridge that you had a $75 million cash increase in lease costs in the quarter. Can you say what's driving that and whether we should have extrapolate that for the full year? And then finally, just to pick up on that quick comment, Natalie, you made that about change in the competitive -- on the competitive front in Belgium. Can you just elaborate on what you mean by that? Thank you.
Frans Muller: Talking about Belgium and the competitive front, we noticed for a longer time already that the market is -- has an overall offer of a square meters in retail. And the country itself, from economic point of view, and from a consumer point of view, is not growing. We see quite some entrance of competition and we talked lately about also jumbo and our own all the time. And we talk about the market shares and the high shares of goal that . and Delhaize. So tough market on comps. We also know that from a social perspective, it's not an easy market to navigate. And then we see also a number of new entrants to that marketplace in itself. The market is still quite traditional regarding e-commerce.  E-commerce penetration is much lower there in that market, for example, than the Dutch market is and that's what -- why we also said that we will once more look at our overall competitive cost levels in Belgium. We see good strides in supply chain in Belgium with our automated warehouses. But we have more room to go there to make sure that we also can further invest in pricing when necessary. If a customer value proposition in Belgium where we work on with Delhaize and at the same time also, we will introduce stronger our Price Favorites our entry prices in the Belgium markets. And like Netflix said, there isn't different price elasticity in Belgium so I think that also will help our positioning furthermore in Belgium and the Belgium team is working very hard on that. At the same time, European-wide, with opportunities to look fiercer at our cost positions and to make sure that the effort fairly mitigation of inflationary environment.
Natalie Knight: With respect to the due questions you'd asked, both related to free cash flow. I think the first one was on changes in working capital. And this is one where I think the story is less about where do we end at the end of the year, which is probably in the neighborhood of I don't know, 200 million less depending on what happens with inflation at the end of the year. It's more about you really need to look at it is it's going to be a little bumpy across the quarters because of how COVID moved in each of the regions in terms of when things were open and not open last year. So I think that's one, whereas I said for the full-year, it's probably a net unwind. And that's pretty strong given the higher sales volumes, but that's when we will be managing very actively. In terms of your question on the leases, there there's a couple of different things in it. The majority of it is related to our acquisitions. That's probably 60% related to the acquisition of the Southeastern Grocers store in the U.S. and DEEN in the Netherlands. And in addition, there was also some FX effects in that as well to the tune of about $20 million.
Rob Joyce: Thanks very much.
Operator: And the next question is coming from Mr. Robert Jan Vos ABN AMRO, please go ahead.
Robert Jan Vos: Good morning all, l have two questions as well, Natalie you just mentioned the inflationary mathematical impact on the gross margin. It dropped by 60 basis points in the first quarter, this was really the first quarter with real significant price inflation. Well, maybe a bit in Q4 of last year as well. My question is what you said this development in Q1 is a proxy for the coming two quarters as well, that's my first question. And then second, I don't recall seeing global support offers being an operating income like it was in this quarter, you explained it, its self-insurance costs and the high interest rates. In your assumptions for the remainder of the year, what do you assume for global support offers? Is that going to be a plus in a common quarters as well? Those are my two questions. Thank you.
Natalie Knight: Let me start with the second question first on GSO. Essentially, what happened since the beginning of the year is a significant increase in the expectations for interest rates, which impacts discount, which as you said, it positively impacts our insurance. We've now seen that impact and as of today, we've got everything that was planned for the rest of the year in our expectations. So it's always a moving item which we can see change. But I think there's quite a bit of upside in terms of interest rate movement now priced in our expectations for the full year. When we look at things on the gross margin, that is something that we believe are holding up quite well versus last year. If you see that on the -- as I said, on the gross profit euros and dollars, very solid delivery that's something we're really proud of that we've been able to have really good, and I'll say often tough negotiations with our suppliers to ensure that that's the case. You may see modest changes across the quarters, but I believe we are at a level we believe we can certainly maintain going forward.
Frans Muller: And what we also said is that we see the first quarter as a proxy for the second quarter. But for the second half of the year, you see that we have our cost-saving programs, which is slightly back loaded. So we see a stronger effect coming from those and we also see a more moderated inflation in the second half of this year. So confidence also to look into the second half, very strong consumer in the U.S., rational market from pricing, cost saving programs, which given even more grips apart from the already reconfirmed high levels of goal savings anyhow, but also slightly back loaded those programs. So that gives us confidence that we can mitigate the inflationary environment and stable gross margins. And that is of course also good news in itself.
Robert Jan Vos: All right, Thank you.
Operator: And the next question is coming from Mr. James Grzinic, Jefferies International, please go ahead.
James Grzinic: Good morning everybody had to super quick ones. The first one is when we think about Natalie, those margin from as you made to the U.S. we quite clearly said pricing was a positive. Was there a mixed dynamic as well within that? And if so, can you perhaps suggest for magnitude you had on that? And second one just in terms of understanding what U.S. dollar effects assumption you taking on your guidance, so should we be looking at the spot now 1.55, 1.16?
Natalie Knight: To your second question first, with respect to the U.S. dollar, yes. We have looked at it as we were setting our guidance and assume that that rate will stay at about that level for the rest of the year. In terms of the U.S. margin there is something when we look at mix which is, obviously, there are -- as we're developing our business going forward, we're seeing not only are we growing in channels where in some of our brands where we have higher margins, but we also see opportunity for the rest of the year in private label where in some cases we have better margins than our other port -- the rest of our portfolio.
James Grzinic: Thank you.
Operator: And the next question is coming from Mr. Fernando , with growth beta com, please go ahead.
Q – Unidentified Analyst : Yes. Good morning. Thanks for taking my questions. The first one is in bol.com on the listing, you said Natalie, depending on market conditions and other circumstance, I believe you said. Could you remind me what that second part actually means, I can understand market condition but what are the other ones? And then maybe to come back on Belgium. I guess, because you didn't gave any number on market share that you didn't gain any market share there. Could you confirm that? And that on the cost side, given the fact that Belgium is heavily unionized, that you also working with a lot of franchise in that's half of your Delhaize business. Is it then really likely that you can do a lot on the cost side and that your margin can move up substantially in Belgium? Those are my questions.
Frans Muller: I Feel that I'm going to take all three of them so let me work backwards. Let me talk about cost levels, we talked about that we have to see opportunities on top of our present running programs to find a cost savings in total Europe, that's one thing. And this we need, and with this we think out of the prudence we need to have those cost savings to deal with the inflationary levels and of course those levels are little bit different in impact with the Ukrainian conflict quite close by and we also would like to make sure that we are precursors on those effects potentially getting bigger for Europe than for the U.S. That's why we'll step-up our cost plans on top of the present successful running saving programs. And when we say costs then it supply chain costs, it's Cox, it is a better allocation of labor, and it’s for the automation where for which we invested quite a bit.  And we also think that on NFR, not for resale, that we have quite some opportunities. And the European team is diligently working on those and we have already a number of costs pockets on top of the present running programs. And as I mentioned earlier already for now, that the existing programs, which we already planned for and reported on, are more back-loaded, heavy in the second half of the year. Then on the market share in Belgium is difficult because we don't have those news and numbers that we see for overall Belgium a flat market share. But we also saw that they lost share with Delhaize we gained share Albert Heijn. In Belgium and on bol.com we stay put to our plans for the second half of this year.  The sub-IPO to your planning to get ready for that is absolutely in line and on track. So that is all going well. But at the same time, we get questions or is the IPO climate the right climate at the moment? First of all, this we have to see and we have time because it's not the second half yet. We have some time there. There are a couple of things which are for us important. First of all, we a strong company and well financed and with a strong balance sheet. So there is not an extremely high level of urgency, that's one thing. The second thing bol.com is a very well-managed and well-positioned company. And we would like to make sure that we can crystallize the proper value for bol on one hand.  And finding also the funding out of that crystallization in the sub-IPO to invest further in bol to make this company grow further. We saw the minus 7% growth of bol, the market thus minus 16 estimatily. So we gained also, again, roughly 2% market share with bol, just underlying how strong that company is in both the Netherlands and the Belgium. So in summary, strong company, well-managed, on track with the IPO, and given the market conditions, we have to see how realistic is the second half of this year to crystallize the right value for bol and to make sure that we look at these things. At the same time, we have to find ways to make sure that we keep our investment commitments to bol because we will like to grow that company as we set out our November markets, Capital Markets Day. Is that an answer to your question for now?
Q – Unidentified Analyst: Yes absolutely. Thank you, so much.
Frans Muller: .
Operator: And the next question is coming from Mr. Andrew Porteous, HSBC, please go ahead.
Andrew Porteous: Yeah. Hi, guys. A couple from me, first one related to the last question really. I guess if bol.com IPO doesn't go ahead, what sort of options are you considering for that business? Would you fund the CapEx program out off your own free cash flow or would you maybe think about changing the timing a little bit and smoothing it? Second question really, I guess, coming back to the market share data that you gave. Stop & Shop really was the standout there as the one that's probably not doing as well I mean, clearly the other brands performing very well. What is it that's lacking at Stop & Shop? And are you taking actions to correct that?
Frans Muller: Thank you, Andrew. On bol, I expected that follow-up question based on what also for announced question was already. Let me be very clear, bol is a great company. We are going to grow the company dramatically. And this present market environment where bol is gaining 2% share might be even a bigger opportunity to grow faster because we are well-capitalized, well-managed, well invested as a company. And we see also big opportunities still together with our trend in the last food brands to proceed with our plans to combine those food and nonfood customer journeys as we already mentioned to you at the Capital Markets Day.  And we see now already a growing collaboration between bol and  to make it easier and more seamless for customers and more to share with you in next quarter. But I think is some pretty exciting journey there, so well-positioned. And the other thing is that if we might not find funding through an IPO in the second half because we would like to invest further in bol, then we have to look at alternatives ways to find that funding, and there are a lot of options open there. I think its a limit too early to speculate because at the moment is 11th of May, and we talked about the second half of the year.
Natalie Knight: This is Natalie, with respect to your question on Stop & Shop and market share there, when we look at the U.S. -- thanks for calling out. We're very proud of the performance of our brands and overall, we're definitely gaining share in that market and believe that's going to be the case again when we get the Q1 numbers. I think at Stop & Shop really the challenge has been that when we look at that from a store perspective, we really just haven't had the opportunity to complete the really aggressive remodeling program that we have envisioned. If we look at Food Lion several years ago, that was really the key to success as an addition to looking at pricing and culture, you got a different look and feel when you went into the store.  And when we look at Stop & Shop, that's something where we definitely have big plans. They have been slower than we would have liked during COVID-19 because it was really just hard to get spots secured all the -- all of the technical requirements able to do it. We are moving in at full speed at the moment. There's a real focus in terms of what we want to do in the New York area because that's the place where in a tri -state area we believe we can be really impactful and show people what we want to do with the brand. And as Frans mentioned in his presentation earlier, we're also looking at how do we work much more collaboratively between Stop & Shop and FreshDirect to really capitalize on the benefits of the both of those brands can do to help each other in that area.
Frans Muller: And one thing that Andrew, I also -- it's not completely your question, but I would like to use the opportunity to be also clear on this point. We got quite some comments and questions on our CapEx levels after the Capital Markets Day and after the first quarter, were we upped our 3 to 3.5% over time in 20-25 timeline, because we would like to make sure that we are well investors company. On this topic because we see inflation in groceries, but we also see inflation in building materials, raw materials and these things. You can be rest assured that we will be very very careful on our CapEx levels that we had to same thresholds like that before on return on capital, and that we will not compromise on these type things.  And we might see that we all have to negotiate harder for building materials, or we have to make choices that the -- let's say push out a few things where the rates are not good enough to bring us the right returns. We will not compromise on those. We will be very careful and prudent on these things. And that's I think -- but also we mentioned in the press release today, but of course, we also raised our focus --  our focus on these things to manage those CapEx costs as well, also in the environment of inflation, and you can count on us there that we are very cost conscious.
Natalie Knight: And I think I'd add on that one part of why we have so much confidence there is yes, we have some clear areas where we want to make sure that on the ground you see changes in the consumer gets the best service. But remember, we're also in the process of shifting our investments to being much more around omnichannel digital, really getting in those places where were going to have an impact on customer of the future. And those aren't growing at the same increases as we see when it comes to some of the raw materials and labor in some of the other areas. So it's actually an advantage for us when we're looking at how do we make those CapEx dollars go forward for us.
Andrew Porteous: That's super guys. Just one quick follow-up if I could you have any KPIs on the stores that you have refurb during Stop & Shop to maybe show that that performing better. So perhaps you can hope that as you roll through that refurb program of market share improves.
Frans Muller: And we said, compared to our control groups and also our nominal base, we said that our investment should deal for second and third year, 642, sales uplifts. And also the numbers we also see we're happy with the performance of our remodeled stores. Those come in batches as well. They are in line with the pro - forma. So that is a good thing to see. But let's also not forget, it's not only the sales levels but also how we invest into communities and we understand them better. We have a few things to do there, and we have quite some opportunities and we will open soon our first completely remodeled store with a much better culture and ethnic assortment in the Bronx in New York and that we mentioned already there that we have national opportunity to be in New York a better combination of FreshDirect and Stop & Shop and to combine our store network in a much more locally adapted stores in the behrouz of New York that's one example.  But also learnings from there will also help us in the assortments in the other 400 stores have Stop & Shop with over doubt remodeling to understand our customers better. So happy with the remodelings of Stop & Shop tough market as we know there in at Northeast, which is not growing population as we know, but we have confident that we are going to make that happen.
Andrew Porteous: Super. Thank you.
JP O'Meara: So thank you, ladies and gentlemen, for joining us today. We're very much looking forward to getting out physically on the road again for the first time in several years. So we're looking forward to catching up and for any follow-up questions, please feel free to reach out to the IR team during the course of the day. Thank you.
Operator: Ladies and gentlemen, this concludes this Ahold Delhaize event call. You may now disconnect your line. Thank you.
Recording: The conference is no longer being recorded.